Operator: Good morning, ladies and gentlemen. Today is Tuesday, June 30 and welcome to the Art’s-Way Manufacturing Quarterly Investor Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Your call leaders for today’s call are Carrie Majeski, President, Chief Executive Officer; J. Ward McConnell, Jr., Vice Chairman of the Board of Directors of Art’s-Way Manufacturing; Marc McConnell, Chairman of the Board of Directors of Art’s-Way Manufacturing. I will now turn the call over to Ms. Majeski. You may begin.
Carrie Majeski: Good morning. I am just going to read the forward-looking statements for you quickly. You should note that some of the statements made during this call maybe considered forward-looking statements. Forward-looking statements include, but are not limited to statements relating to our market position, strategies for growth and future results of operation. Forward-looking statements are inherently subject to risks and uncertainties such as competitive factors, difficulties and delays and developments, manufacturing, marketing and sales of Art’s-Way products, general economic conditions and other risk factors and uncertainties described in Art’s-Way’s periodic reports on file with the Securities and Exchange Commission. Actual results may differ materially from anticipated results and Art’s-Way does not undertake to update these forward-looking statements. And with that, I am going to turn the call over to Marc.
Marc McConnell: Yes, thank you all for joining us for our quarterly call. As you have seen from the release, we had a profitable quarter, and we are pleased about that, and we look forward to tell you in more detail about that, and I will have more comments at the end and will allow Carrie to go through the numbers more specifically.
Carrie Majeski: I am going to start again by going through our Ag sector and starting with Art’s-Way Manufacturing, our largest business. In the second quarter, our sales for 2015 are $6,050,000 compared to $6,360,000 in 2014. This was a decrease of $310,000. Our income before tax in the second quarter for 2015 is $704,000 compared to $360,000 in 2014. That is an increase of $344,000, or 95%. The bulk of the decrease in sales comes from a decrease in the OEM blower sales, and this is really a timing issue from the first quarter to the second quarter. When we look at our blower sales year-on-year, we are actually showing OEM blower sales are up 2.5%. So, we just had so much more throughput in the factory in the first quarter compared to last year. Our sales of our Art’s-Way Manufacturing whole goods remained consistent quarter-on-quarter. Year-to-date sales for 2015 are $10,815,000 compared $9,144,000. This is an increase of $1,671,000, or 18%. Our year-to-date income before tax for 2015 is $1,302,000 compared to a loss of $71,000 in 2014. This is an increase of $1,373,000. Our backlog currently is sitting at $2,677,000 compared to $5,358,000. This is a decrease of $2,681,000. The sales of our grinder mixers are up approximately $2 million over last year. Again, this is due to accelerated deliveries in the first and second quarters and just having so much more additional throughput in the factories in quarter one especially over quarter one of 2014, but continuing that throughput into the second quarter of 2015 as well. Our income has much improved for both quarters and year-to-date. This is due to increased efficiencies and improved management of our slow moving inventories as well as that shift with the grinder mixer sales. Grinder mixers do have strong margins for us and that is reflected in our overall gross margins as well. We have seen a decrease in our incoming orders compared to the first quarter of the year, so we are making some alternations in our operations. Accordingly we have already cut the number of indirect positions in our Armstrong and West Union facilities, and we are running some reduced hours of our direct staff. We are currently running 32-hour work weeks. We have also offered an early retirement package to some of our staff to bring down the headcount as we continue to go forward here. We are pleased with the performance in the second quarter that we are being very proactive and reactive to the declining in the orders to try to maintain the positive numbers as we go forward. Due to the current economic condition, dealers are significantly decreasing the amount of units that they stock on their lots because they are currently sitting on a lot of self-propelled equipment. As a result, we are working on building our whole goods inventory so that when an end user has demand for a product, it will be readily available because we cannot depend on our dealers right now to carry that inventory for us. Universal Harvesters, sales for the second quarter of 2015 are $271,000 compared to $1,139,000 in the prior year. This is a decrease of $868,000. Income before tax at UHC for 2015 is a loss of $78,000 compared to income in 2014 of $138,000, so the decrease of $216,000. Their year-to-date sales for 2015 are $485,000 compared $2,160,000, a decrease of $1,675,000. Their year-to-date income before tax is a loss of $218,000 compared to $285,000 in 2014. This is a decrease of $503,000. Our backlog at UHC is currently sitting at $136,000 compared to $183,000 a year ago, a decrease of $47,000. We have pulled back our staffing levels down at UHC to the bare minimum, so we are really able to respond to customer orders as they come in and still deliver parts. But we are down to approximately 4 people on the shop floor at this point compared to 15 a year ago. We are evaluating the goodwill at UHC. We are currently sitting on $620,000 approximately of goodwill. It is likely given the economic conditions that we will have to impair some of this goodwill by year end. Art’s-Way International, their sales for the second quarter of 2015 were $114,000 compared to $109,000 in 2014. Their income before tax for the second quarter of 2015 is a loss of $109,000 compared to $46,000 in 2014. Their year-to-date sales numbers are $535,000 compared to $803,000 in 2014. This is a decrease of $268,000. Most of that decrease is really a spillover from 2013 which is the first year that we had purchased Art’s-Way International. We struggled getting into production right after the purchase. So, the pre-season orders really didn’t get delivered until 2014. So, those sales levels for the first quarter, especially of 2014 elevated because of that. Our year-to-date income before tax for 2015 is a loss of $179,000 compared to income of $95,000 in the prior year. Our current backlog is sitting at $628,000 compared to $576,000 in the prior year. This is an increase of $61,000 or 10%. We did just conclude our early order program for the snow blowers, and we had a 4% increase in Canada and in the U.S., where we sold very few snow blowers last year, just 20 snow blowers, we have sold 73 this year. The largest portion of that increase is to a distributor in the Northeast, where they experienced heavy snowfalls last year. So, they were able to move through a lot of their inventory, and the dealer is in need to restock his inventory there. Income numbers are off due to the shift in the sales that I mentioned earlier as well as the fact that we did move our operations from Clifford, Ontario to Listowel. The move took place over the month of May and June. So, we have a number of one-time costs in the quarter associated with that move. Moving to the total sales for the Ag sector, the second quarter sales are $6,365,000 compared to $7,562,000, a decrease of $1,197,000. The second quarter income before tax for 2015 is $538,000 compared to $542,000 in the prior year. Our year-to-date sales for 2015 are $11,681,000 compared to $12,004,000 in the prior year. Our year-to-date income before tax for 2015 is $937,000 compared to $301,000, an increase of $636,000. Our total backlog for the Ag sector is sitting at $3,316,000 compared to $5,994,000. Moving forward to the Ohio Metal sector, their sales for the second quarter of 2015 are $554,000 compared to $895,000, a decrease of $341,000. Our income before tax is a loss of $69,000 compared to a loss in the prior year of $2,000. Our year-to-date sales at Ohio Metal for 2015 are $1,351,000 compared to $1,806,000, a decrease of $455,000. The income before tax for 2015 is a loss of $83,000 compared to income of $64,000 in the prior year, so the decrease of $147,000. Our backlog at Ohio Metal is currently sitting at $547,000 compared to $499,000, an increase of $48,000. Revenues at Ohio Metal continued to be down due to the decline in the oil and gas industries. Last quarter, we announced that we had hired Dave Luellen as our new Director of Business Development. He will be working over all sectors. However, we have had him dedicate most of his time to Ohio Metals. He has been working solely with this entity, because they have been really neglected for about 10 years prior to the time that we purchased them. So, we are focused on adding sales reps and reenergizing the reps that we have. We have launched our new website and we have updated our sales and marketing materials. We attended the ISA Show, Industrial Supply Association Show in April and we are bringing all of our sales reps together for a sales meeting at the end of July. We are really focused on raising awareness and excitement about our brands and working to expand our current product offerings. We are known for a very quality product. However, the product that we deliver is rather narrow in scope. So, we do want to expand the product offering that we have while maintaining that name for quality in the industry. Moving to the Vessel segment, their second quarter sales for 2015 are $476,000 compared to $475,000 in the prior year. Their income before tax for 2015 is a loss of $11,000 compared to a loss of $85,000 in the prior year. Our year-to-date sales at vessels are $1,003,000 compared to $898,000 in the prior year. This is an increase of $105,000 or 11%. Our year-to-date loss for 2015 is $78,000 compared to $125,000 in the prior year. Our backlog is sitting at $472,000 compared to $235,000 in the prior year. Art’s-Way Vessels is a segment that we have really struggled with over the last several years and our goal this year is really to increase consistency through our sales in production cycle. We have now had two relatively good quarters in a row and we have a nice backlog coming into it. So, we feel like we are able to have that consistency certainly throughout the next quarter and hopefully through the rest of the year as well. I did want to just point out the fact that we did deliver a large job in the quarter that we had to give a price concession on due to a prior quality issue last year. And if we would not have had the price concession on that large job, this division would have been profitable for the quarter. So, we really feel like we are making some progress in our turnaround at Art’s-Way Vessels. Moving on to the Modular Building segment, our sales for 2015 for the second quarter are $409,000 compared to $537,000 in 2014. Our income before tax for the second quarter of 2015 are a loss of $104,000 compared to a loss in the prior year of $120,000. Our year-to-date sales at Modular segment for 2015 are $1,058,000 compared to $998,000 in the prior year, an increase of $60,000. Our income before tax in 2015 is a loss of $177,000 compared to a loss of $249,000 in the prior year. Our current backlog is sitting at $1,388,000 compared to $119,000 in the prior year. This is an increase of $1,269,000. We did just recently receive a large job for a number of Ag buildings going to one site. That job was for $819,000. So, that’s a large chunk of our backlog that we anticipate delivering by September of 2015. Our final report does remain strong for this entity with over 300 leads that were following. There has been a shift however to Ag buildings ticking over about 50% of the open leads. So, there is a definite shift from the research facilities to the Ag buildings. And so we are really chasing those sales and the sales of the Ag facilities seemed to close a lot faster than the research facilities. Dan continues to attend and present at many of the shows throughout the summer. That brings us to our corporate totals. Our corporate total for sales for the second quarter of 2015 is $7,804,000 compared to $9,464,000, a decrease of $1,665,000. Our second quarter income before tax for 2015 is $354,000 compared to $335,000 in 2014, an increase of $19,000. Our year-to-date sales in 2015 are $15,093,000 compared to $15,706,000, a decrease of $613,000. Our year-to-date income before tax for 2015 is $599,000 compared to a loss last year of $9,000 and that’s an increase to our income before tax of $608,000. And that concludes the numbers. Marc, I will hand the call back over to you.
Marc McConnell: Okay, alright. Well, I would just start by saying that we kind of find ourselves in interesting time. We have long heard about, known about the down-cycle that’s been happening in the Ag industry. It’s been talked about for a year and a half, 2 years and in fact in more people that were road crop oriented and we have been fortunate to go through the last year and a half or so with the demand brought on by a lot of livestock and dairy sectors of the business. And so that has been really good for us, but – and clearly, we have had another profitable quarter. We are very pleased with that. But what we are seeing is some changes happening on the dairy and livestock side. Dairy prices have been treated a good bit and as have some other meat commodities. So, it’s created a situation where those of us that were getting quite a bit of the benefit from the livestock are starting to feel a little bit of it. We are obviously in a number of different businesses and several of them seem to be pretty cyclical obviously, Ohio Metal with oil and gas manufacturing sector, with the Ag business itself in some of our other sectors. But as I said in the quote from our news release, where we have really been focused on managing profitably through the down cycle and this quarter was a proof that we are able to do that, particularly in the Art’s-Way Manufacturing business with sales having been challenging we have been a lot more profitable, a lot more efficient that we feel like we are doing a better job, making a lot of progress on the – in issues that we have had in recent times, but we do find ourselves in a case where demand is out of our control. As Carrie touched on one thing pertinent to the Ag sector, the fact that dealers generally have bit of an inventory problem with all of their products to its combines, tractors or other things means that they are being pretty conservative when it comes to stocking inventory of anything, including what we sell. And so what we found is that we have a bit less visibility on what’s going on in the marketplace, because we don’t have the dealer stock or dealers willing to stock very much. And so what we are preparing for is the case that a lot of the units that we will sell will be just straight from the factory maybe passive dealers hanging to go to the customer, but it’s not going to be from sitting on dealer a lot for any real period of time. So, going ahead closer to the season of use for some of our products, we are really going to just have to be very agile, very responsive to what’s going on. As Carrie mentioned with certain products we have been building more inventory than what we have had in the past, because we do expect there to be the demand, which is we can’t expect the dealer to be speculating on lot of money tied up on their lot. So, what’s been happening at that going on is that dealers are making some sales and it’s relieving their – the inventory they have in the field and then they are not restocking with us. So, it’s just a – it’s interesting that it’s all changing in what we are expecting we could well have decent demand or similar demand for some of these products going ahead in summer and fall, but it’s going to happen differently. So, I would just make that note. We are working on some programs however to encourage them to stock more products. We feel like sales are more likely to happen for the dealers that do have product in stock, so particularly with some products that are a bit newer for us that were not as known for like manure spreaders, we are going out with a pretty aggressive effort to have them stocking it and also to demo them as we feel like we have the best product by far in the market, but we are not – we don’t have 50 years selling manure spreaders. So, we are trying to get closer to the customer and let them see and touch and watch our equipment operate and we hope that long-term this will pay us some dividends whether it’s this year or future years in getting the awareness out there about the quality of our products. So, going ahead, we are going to focus on spending more time with the dealers. In couple of weeks I will be going out to see some of our bigger ones and we are using these current times as an opportunity to get closer to the customer and to make adjustments to become a better company. We have mentioned that we have been addressing cost where possible and really focusing on improving efficiencies. And I think that we have been feeling the benefits, particularly in a time like now, that’s a little bit tough or perhaps could become tough. And with that, I would just say that we are proud to have another profitable quarter and we are just going to continue to manage the way through the down-cycle in the various different entities and continue to give all the support that we can to the areas that our experience to increase demand. As was mentioning, Dan Palmer is busy as he can be and is not on the call today because we wanted him focusing on few deals that he is working on right now. But his backlog is up dramatically. We have got other bright spots with backlogs up for snow blowers. And in general we have got shows coming up in the various different sectors and we are going to be there and be well represented and continue to be significant player in the markets that we are. And I would just note that for all these entities having some cyclicality to them is no surprise, it has long been part of the farm equipment business, it’s been part of oil and gas, it’s been part of everything else and we are glad to have built the company strong enough to make money despite some of those scenarios. So with that, I would like to thank all of you for your interest and would be glad to take any questions.
Operator: Ladies and gentlemen, at this time, we will conduct the question-and-answer session. [Operator Instructions] Our first question comes from Roger Miller from Frontier Investments. Please say your question.
Roger Miller: Well, good morning guys…
Marc McConnell: Good morning.
Roger Miller: Anyone else who is listening. Let’s talk about vessels first.
Marc McConnell: Okay.
Roger Miller: Things appear to be turning around, you have cut the losses even though you are still showing one. The backlog is up significantly, you have on-demand product now, so maybe you would like to explain how that’s working out since in the past you didn’t have it?
Marc McConnell: Alright. Carrie would you like to touch on that?
Carrie Majeski: Yes. The on-demand product at this point, we have not seen a very large increase in our sales because of that. However, we just started advertising and marketing that product as well. So that is a product that we have out there that really goes to a different user than we typically build our tanks for. Typically, the tanks that we are building do go into industry of some sort. These exchange tanks that we now have available would really go more to like your local colleague and dealer, so he could have his own exchange system on site, so that’s really just getting started, and we haven’t seen a real big benefit from that yet. However, we do anticipate we will see some as we move forward. Where the real increase in our backlog has come is through our more traditional sales outlets and just providing a better level of sales and support and delivery to those customers and having some larger orders come through, and really improving our production system and controlling our capacity and really being able to answer the customers’ requests. And when am I going to be able to get that and then hitting that delivery timeline. It’s very important to these customers, because they are potentially shutting down a factory when we don’t deliver on time.
Roger Miller: So, under sales and support, are you doing print now, I mean actually doing color pages that you can hand out to the customer?
Carrie Majeski: We are just putting together a literature piece and really we need to have a couple of different ones, one for these stock tanks that can be handed out of one set of customers and the other that really explains our overall capabilities and practices and offerings for that more traditional tank customer, and that’s all -- it’s a one-off custom production for their needs.
Roger Miller: So, are the different divisions working to increase sales between them, for instance when your sales people go out selling Ag equipment, wouldn’t it be wise to take some literature on vessels with them?
Carrie Majeski: We do, do that more specifically with Art’s Way Scientific and Art’s Way Manufacturing. There are a number of shows where we definitely take literature, but there are two large Ag shows that we go to the World Pork Expo and the World Dairy Expo, where we actually take a building and then we also take some of our agricultural equipment. We also showed at Tulare this year with the grinder mixer, but then also had sales staff on hand at the show from Art’s-Way Scientific. Those two entities we feel really have a lot of common pole and we try to playoff of those two more often than we do vessels or Ohio Metals.
Roger Miller: Well, it seems like you have a lot of crossover here. And in my opinion, vessels have been neglected somewhat, because you have concentrated on the industrial accounts and possibly you could even take the literature with Dan Palmer when he attends his shows over the Ag people, and it would be hard to take a tank with you, but not hard to take literature with you. And in certain areas of the country, these tanks are primarily metal, is that correct?
Carrie Majeski: Yes, all of the tanks that we produced are metal. Some of them will have a lining in.
Roger Miller: Right. And wouldn’t that be deemed something that maybe in certain parts of the country would be more so in demand like in traditional areas, where the Mennonites and Amish are?
Carrie Majeski: I am not pretty sure about that. I can’t comment on that, Roger. But I can say that Pat O'Neill has been our salesperson at vessels, and he came from the water industry and has been very focused on the water industry. So, with vessels, we feel that, that’s a real opportunity that we have is to get outside of the water industry to expand our customer base.
Roger Miller: Right. And Dave Luellen is concentrating on Ohio Metals and he is basically based out of Ohio, correct?
Carrie Majeski: That is correct, but vessels is the next entity that we are going to have Dave focus on. And Dave and I were down in Dubuque just earlier this month working with them and he is also scheduled to travel with Pat. So, we are moving him into the vessels segment at this point as well.
Roger Miller: I commend you for that. I feel that well, if you get Dave Luellen in the vessels and Ohio Metals the same time, I think he is going to see maybe some crossover in the areas that he covers and his knowledge in business will enable you. So, it seems like in the bottom has hit – is maybe in place in some of the commodities at this point especially in beans and corn, and with the increase in rain in the Midwest, I know our corn crop is looking really good. Other areas, they may be flooded out. Would you like to comment on that anyone?
Carrie Majeski: I have certainly comment on the Midwest area here, where there is a large concentration of our equipment sold. Our crops right now are looking very good. We have had very good moisture content and we do not have in this area a lot of grounding out. They have been rather slow rains that have been able to absorb into the ground. So, in this area, things are looking pretty well.
Roger Miller: Well, where I am going with this, how it affects you is on the conference call, it was stated that the dealers aren’t stocking your equipment as much. It would seem to me it’s got to do with the inventory as they start to move larger inventory, they are more apt to strategically increase the inventory with you due to the fact that they need to get some of the larger inventory off their book. So, would you agree to that?
Carrie Majeski: Yes. As you drive by these dealerships when you look at the inventory that they have, it’s the combines and it’s the tractors and a combine and a tractor cause significantly more than any one piece of equipment that we have, but because their capital is tied up, they are not willing to put any inventory on their lot. So, yes, as some of that larger equipment, the self-propelled tractors and combines start moving, yes, I think the dealers will start speculating a little bit and we don’t know when that’s going to be and we don’t know how much of a recovery those dealers are going to need at that point either.
Roger Miller: Well, in my opinion, it’s right around the corner, because we have seen an increase already off the bottom in beans and corn not a great deal, but it looks like there is definitely a bottom is set in and an increase will warrant more sales. And I don’t think the market has seen that yet, but it’s coming, so that’s a positive view point and I hope I am correct with this?
Marc McConnell: And that’s positive certainly for dealers at large and for their tolerance of inventory. On the other hand, it doesn’t help the people buying grinder mixers at all. So, it’s kind of a complicated thing for us. If it significantly went back the other way with the corn, a good bit higher, we probably have another product mix shift away from grinder mixers.
Roger Miller: Well, I think you have to recognize there has to be an equilibrium on cash flow and therefore I will help the grinder mixers in the fact that the increase in the commodities won’t be that great, but should be enough to sustain the farmer and obviously he has got to be profitable we all agree on that, correct?
Marc McConnell: Yes.
Roger Miller: So, that’s where I am going with this, I am not sure what the level of profitability is, but definitely I think all around the negative part of the Ag business is at the bottom and I think it’s the positive part is coming and I think it will help you too. As far as Universal Harvester goes, at this point, have you thought about spinning it off?
Marc McConnell: Well…
Roger Miller: Is there anyone that would be interested in it or can you take the other viewpoint? Is there anyone you could acquire and put the two companies together and take more market share?
Marc McConnell: Well, I would say or for one thing they kind of fulfill the niche within the real business, but our general thought is well, for one thing we haven’t sold companies or entities so much that any others can remember. And to do so I think our general mentality was unless we are completely desperate who wouldn’t be doing it when it’s in a bad state or when the market is in a bad state as it sounds. So, we would probably be more likely to take the other tackle of looking at what interesting opportunities might be that go with it. But at this point, I would say that probably wouldn’t be our focus if we were looking for places to do acquisitions, but you don’t know what might come along. In the real business specifically this one company in particular that is larger than the others that did the vast majority of the OEM business with Deere and Case and others and we were kind of on the higher end as the real business with aluminum, higher quality product. I am sure that with their business being almost entirely OEM that they are struggling, I would have to think pretty significantly it would be like what’s happening at UHC for us, but on a larger scale. And then there are also some other companies that make other sort of niche products like Aerial things like that, but I don’t know what’s going to happen in that world, but I know that there has to be some serious struggle going on for those that are not as diverse as we are.
Roger Miller: Well, you have always been an acquirer, I agree there, so what are you looking at?
Marc McConnell: Well, one thing we are of course focusing on what our cash flows are and all those kinds of things. So, we are having a bit of conservative fact right now just in general, but if we were very active in looking at anything, it would likely be something that could combine with scientific and stabilize its income and improve its product offering and that kind of thing. So, that would kind of be what would be most interesting to us.
Roger Miller: Well, in my opinion, scientific as going forward has the most positive of all the divisions, including in the Ag division. I think scientific has possibilities that are way beyond any volume of revenue where you are at now?
Marc McConnell: I agree.
Roger Miller: And recently there was a huge investment made in your company and shares, if I was going to purchase shares at this point that’s what I would be looking at. So as far as scientific goes, are you looking at bringing in any more personnel to relieve Dan Palmer with some of his duties?
Marc McConnell: Well, we are having those conversations, yes, because I think that we ultimately need him to be freed up and have the capacity to chase the opportunities that are out there. So we don’t have a listing up for anything right now, but we are talking about what kind of person would complement what he does and helps them in performing at a higher level even yet capacity wise. So yes, that’s on our radar.
Roger Miller: Well, every day we hear about food safety.
Marc McConnell: Yes.
Roger Miller: And it’s all over the marketplace from organic foods to the main stream food companies and they have been acquiring other industries what not in the food industry. Today, we had another private label deal, but anyway the point is Dan Palmer is out given speeches on food safety, I would imagine that’s perking up the division as far as who you are, have been pretty quiet since the division was formed and mostly involving universities, correct?
Marc McConnell: Yes, to a large degree. Yes, food safety in general is kind of, it seems to be a recent half button thing and we were the first to bring the modular concept to food safety here recently really and so we are in the early stages of all that and it takes a while to develop. Unfortunately, it takes longer than we wanted to develop but we think there is a real opportunity within food safety that’s perhaps going to be communicated for us for future years probably not going to hit tomorrow or something. But he is spending a lot of time on those things and those are really long-term benefits in long-term demand kind of thing, so we are all over it and we need to be more able even to be responsive than we are.
Roger Miller: So basically you are applying your capital in a going forward into that division, is that correct?
Marc McConnell: Well, for looking at it strategically it would seem that that would be the particular division where we have a), we have already got a pretty good platform there, but that some strategic investing and building up that I think could give the biggest upside for the shareholders. And like you said, I mean there is – that could become something far and above what we have a concept of now and we have the same view of that. So, just from the strategic standpoint, it would appear that that’s the place to be a little bit speculative.
Roger Miller: Other than that, do you have any other strategies of growth that you want to expound on at this point?
Marc McConnell: Well, not in real specific terms, I mean of several our divisions particularly ones that were more recently acquired have suffered from prior to our acquisition some degree of neglect in terms of sales and marketing. So we are really trying to provide that support much as the case with the Ohio Metals for example and obviously we need to do that further with vessels. I would say there is ton of opportunity within what we already have if we apply the proper expertise and support to it. So we are really kind of focusing on trying to take better range of opportunities that have probably been sitting there for us for some period of time. And from there if the growth that requires investment a lot of it has to do with the scientific that I just discussed. And we would continue to be somewhat opportunistic in other areas if things come along that provide the synergy of what we are already doing and we are open minded to that, but I don’t have a specific plan beyond mentioning those things to lay out with you.
Roger Miller: In Canada the reason for the move was…
Marc McConnell: Well, we inherited a leased facility that was really somewhat come from us in terms of where we would want to be to put it lightly.
Roger Miller: I thought it was stated myself.
Marc McConnell: Did you go by there?
Roger Miller: I didn’t go by there, but I viewed the pictures on the internet and made some telephone calls, yes.
Marc McConnell: Well, I would say it would stand out, has been quite different from the rest of our facilities and I will leave it at that. So, we were eager for moving on when our lease came up and we had actually quite a bit of difficulty finding another facility to lease that would be kind of appropriate for our needs in that general area, while being able to retain the workforce that we have and all that. So, eventually we were able to find location 20 minutes away or so that would allow us to retain the folks that we have and it’s the rightsizing it. It suits what we do. So, we are in a much, much, much better facility with paint system and all that than what we had before. And so from the time that we were in the old buildings, we had our eyes on finding something else. So, there was no surprise that we moved.
Roger Miller: So, in Canada, is there possibilities of putting more product on ground up there stocking it to increase sales?
Marc McConnell: Whole goods, yes, we have done that for some period of time and had a good bit up there and particularly with currency where it is now it’s been – it’s been problematic for us selling whole goods of Art’s-Way’s into Canada, but we have had some on the ground and we are trying to be a bit more aggressive in terms of selling whole goods in that area. Ontario, which is where the plan is, is that it should be generally a pretty good fit for what lot of our products are dairy, hay and forage, all those kinds of things trying to make sure as manure spreaders could be a good market for that. A lot of it is – lot of the competing product is produced within the province and so it’s a bit harder to compete and then when you have a currency disadvantage, it’s that much harder. So, right now, it’s not highly successful selling whole goods in Ontario, but under different circumstances at a different time, it can be and we have made sales there, but right now, it’s not really active.
Roger Miller: Okay, I think that’s all I have today. Thank you for answering my questions.
Marc McConnell: Yes, thank you.
Operator: [Operator Instructions] At this time, we have no further questions.
Marc McConnell: Alright, well thank you all for your interest in Art’s-Way and your continued investment. We appreciate your time. And again, we are pleased with the profitability we have and we are pretty focused on continuing that profitability for the rest of the year despite some headwinds that maybe there. And again, thank you and have a good day.
Operator: This concludes today’s conference call. Thank you for attending.